Operator: Good morning ladies and gentlemen. Welcome to the Q4 2021 Results and 2022 Financial Guidance Conference Call and Webcast. I would now like to turn the meeting over to Mr. Richard Bengian. Please go ahead sir. 
Richard Bengian: Thank you, Mo and good morning to all. With me here today are Mirko Bibic, BCE's President and CEO; and our CFO, Glen LeBlanc. Our Head of Investor Relations, Thane Fotopoulos couldn't be here because he recently had an eye surgery that prevented him from hosting today's conference call, but he will be back next quarter. You can find all of Q4 -- all of our Q4 disclosure documents on the Investor Relations page of the bce.ca website which were posted this morning. We have a lot of material to get through this morning. However, before we begin, I would like to draw your attention to the Safe Harbor statement reminding you that today's slide presentation and remarks made during the call will include forward-looking information and therefore, are subject to risks and uncertainties. Results could differ materially. We disclaim any obligation to update forward-looking statements except as required by law. Please refer to the company's publicly filed documents for more details on assumptions and risks. With that I'll now hand over the call to Mirko. 
Mirko Bibic: Thank you, Richard and good morning everyone. We had another successful year at Bell. As we continue to execute on our purpose which is to advance how Canadians connect with each other and the world. A laser-focus on our key strategic imperatives enabled us to deliver for all our stakeholders over the past year and remains the foundation for Bell's future success. With the right strategic roadmap for future growth and a clear near-term tactical plan for every part of our business, the Bell team delivered positive results across all operating segments in 2021 hitting the sweet spot between market share growth and financial performance. We achieved our objective of steadily improving results each quarter since Q2 of 2020 and in fact, we're now essentially at 2019 levels having reached approximately 99% of pre-COVID consolidated revenue and adjusted EBITDA in 2021. We not only met but we actually surpassed our upsized network expansion targets for 2021 delivering approximately 1.1 million new locations equipped with either direct fiber or wireless home internet connections. And we expanded mobile 5G coverage to more than 70% of Canadians as we also successfully secured $2.1 billion worth of critical 3.5-gigahertz spectrum. Notably, I'm pleased to report that we effectively completed our Wireless Home Internet buildout program for the benefit of hundreds of rural communities having now reached our one million household target one year earlier than originally planned. This is a testament to the exceptional work of the Bell Network team local government cooperation and supportive regulatory policies. In our wireless segment, we remain focused on growing high-value postpaid mobile phone subscribers, managing customer churn, and delivering industry-leading service revenue growth and profitability. Total mobile phone postpaid net adds in 2021 nearly doubled year-over-year to 301,706 driving service revenue growth of 4% and 5% higher adjusted EBITDA despite a muted recovery in roaming. In residential wireline, Bell's leading broadband networks are clearly delivering immediate tangible benefits on subscriber growth market share and Internet revenue. In fact in the past two quarters, we achieved positive total retail residential net customer additions including satellite TV and home phone. It's the first time we've done so in seven years driving our best annual residential RGU performance since 2011. We also continue to win share in our rapidly expanding fiber footprint with 202,000 new net fiber customer additions up 20% over 2020 which contributed to strong annual Internet growth of close to 11%. As our team continues to manage near-term COVID financial impacts and ongoing legacy service decline the organization remains focused on putting the building blocks in place to ensure Bell is strategically well-positioned to capture a leading share of the IoT and next-generation solutions revenue enabled by 5G fiber convergence. With significant high-capacity 3.5-gigahertz airwaves at our disposal we have the mid-band spectrum necessary to drive the rollout of true 5G across Canada. But success in 5G and IoT will depend on more than just coverage. Industry leadership requires delivering the fastest speeds and the lowest latency and Bell's wireless network offers the fastest data speeds and quickest response times as certified by PCMag, Ookla, Tutela and Global Wireless Solutions in their latest studies of mobile network performance. Leadership also requires leveraging network points of presence such as central offices for MEC that support product development. In that regard, Bell has already entered into strategic partnerships with Amazon Web Services, Google Cloud and other major hyperscalers to expand our IoT MEC and cloud offerings. And leadership of course requires cultivating deep relationships with the biggest Canadian companies. So no matter which critical success factor you look at we're very well-positioned. And we're continuing to build 5G momentum with innovative new business and consumer applications. Recent 5G enterprise initiatives include our recent announcement that Bell became a founding partner an exclusive telecom provider of The PIER at the Halifax Seaport. We're deploying a 5G-ready wireless private network to enable a living lab that will shape the future of the transportation supply chain and logistics industries in Canada. Another initiative I'd like to highlight is the launch of smart supply chain powered by Bell IoT Smart Connect a Software-as-a-Service IoT aggregation solution designed for fleet and supply chain operators. One of the first applications is cold chain monitoring a solution to automatically record temperature levels and provide real-time alerts when they fall outside safe ranges, while cargo is in transit. On the consumer side of things, earlier this week, we launched our new unlimited Ultimate plans. We believe these plans will truly demonstrate the value prop of 5G and serve as a catalyst for the upcoming upgrade cycle from 4G to 5G handsets. We're also going to drive existing 5G customers up the unlimited rate plan curve by distinguishing the superior video quality offered by our Ultimate plans and leveraging Crave Mobile. And as we execute on our strategy it's definitely worth highlighting that we're hitting the public policy sweet spot of quality, coverage and price. Our quality speaks for itself. As for coverage it's accelerated considerably in both urban and underserved rural areas as a result of our capital advancement program. And on price, we achieved the federal government's 25% price reduction target well ahead of the January 2022 deadline and as per mid-range wireless plans. And according to recent Stats Can data pricing for services for wireless services -- excuse me, declined 15% in 2021, while the price Canadians pay for all goods and services has actually increased 4.8%. So we're seeing the impacts of elevated price inflation across the Canadian economy yet our industry is delivering the highest quality services at decreasing prices. I'll turn now to media. Our media segment experienced a notable rebound from COVID in 2021 as TV ad revenue returned to pre-pandemic levels in Q3, while our focus on French language TV led Noovo to outpace its main competitors in viewership growth. And we're also gaining significant traction from our pivot to a digital-first strategy which I've discussed in the past. A little bit more on that. Like consumers advertisers gravitate towards quality. And that's what we're delivering to them with industry-leading content delivered on high-quality online and traditional platforms to the largest audiences a growing proportion of which is addressable. Advertisers want the most effective way to reach a specific audience for a specific message. Sometimes that requires a broad reach and sometimes that requires addressing a specific or targeted audience. With SAM TV and the Bell advertising platform we deliver powerful ad tech to advertisers for all those needs and the strategy is working. Digital revenues increased an impressive 35% in 2021 and now represent 20% of total Bell Media revenue which is up from 16% last year. And underpinning this very strong performance was Crave, which grew direct streaming subscribers by 28% in 2021. We continue to scale our CTV AVOD app which became the top AVOD platform in Canada this past year. And of course I mentioned our SAM TV sales tool which tripled sales revenue in 2021. So the strategic initiatives I've highlighted across our operating segments are supported our customer experience-focused culture as well and that's driving improved satisfaction loyalty and retention with improved NPS scores and lower customer churn. And this past year saw the formalization of our commitment to hold Bell to the highest standards of ESG with the launch of Bell For Better through which we will support a better workplace, better communities and a better world. I'm going to turn now to slide 5, give you an overview of some of our key operating metrics specifically for Q4. Let's start with wireless. We added 110,000 new net postpaid mobile phone subscribers, 49% higher than last year and 76% higher than Q4 of 2019. This strong result was realized despite reduced retail store traffic late in the quarter brought about by renewed COVID restrictions. Pent-up customer demand is helping drive higher new gross activations, which grew 14% year-over-year. That's a function of multiple things: stores reopening, immigration growth, 5G momentum, more focus on bundling of mobility with Bell's residential services and effective customer base management as you can see by a low postpaid churn rate of 1.08 in the quarter. For mobile connected devices, although new IoT subscriptions increased over last year to 88,000, total net adds were just 39,000, as we continue to deemphasize unprofitable low-ARPU data device transactions. And in prepaid, total net adds were slightly positive but that represented a notable improvement compared to Q4 of 2020. Lastly a word on ARPU. It was up a strong 3.3% our third consecutive quarter of year-over-year growth. This industry-leading result is a direct reflection of our continued focus on higher-value smartphone subscribers and higher roaming volumes driven by the easing of international travel restrictions. Turning now to Wireline. We achieved the second consecutive quarter of positive RGU retail residential net adds. This represents our best Q4 performance since 2015 and caps off our strongest residential result including satellite TV and home phone net losses in the past 10 years. We added 48,000 new net retail Internet customers 7% higher than Q4 of 2020 during a time when we had experienced unseasonably strong demand due to COVID. It was another standout quarter for Bell TV with our best Q4 IPTV net adds in the past three years as we leveraged our multiple brands and lower customer churn particularly in our IPTV fiber footprint to drive 29,000 new subscribers this quarter, up 38% versus 2020. Putting all of this together, at the end of the year at the end of 2021, 91% of Bell residential households with TV and Internet were on our FTTH network. That's a notable data point as the steadily increasing number of customers on Bell five services is driving stronger Internet revenue growth, higher household ARPU, lower churn and improved overall EBITDA performance. At Bell Media, TV advertiser demand remained strong throughout the quarter supported by the return to more normal Major League sports and fall TV schedules. The ongoing COVID-related challenges in radio also redirected some incremental advertiser dollars towards TV and digital. These factors drove a 14% year-over-year increase in total TV advertising revenue, which was above pre-pandemic levels for a second consecutive quarter, 12% higher than Q4 of 2019 in fact. We also saw great results from our Quebec media strategy in 2021 as Noovo led in prime time viewership growth versus its largest competitors. And just a few weeks ago we launched the new noovo.info digital platform. Lastly, Crave subscriptions increased 6% over the last year to more than 2.9 million. And in fact 2021 was the most watched year ever for Crave streaming platforms, a great result. Okay. I'll turn to Slide 6. 2021 was a reset year as we transition towards a return to pre-pandemic levels of financial performance and operating momentum. And although COVID turbulence is still expected to ebb and flow in the near-term because of Omicron, we're optimistic about our business outlook as reflected in our financial guidance targets for 2022. We're entering 2022 with a clear set of priorities and a focus on execution built on the operating progress in 2021, which I outlined in detail. We expect that revenue and adjusted EBITDA will surpass pre-COVID-19 levels – 2019 levels. Sorry pre-COVID-19, 2019 levels, supporting a second year of historic growth in capital investment. And that historic growth in capital investment will be approximately $5 billion in 2022. We're forging ahead with our most ambitious annual fiber buildout yet and the launch of a stand-alone 5G core that will enable faster data speeds and lower latencies than what is available with 5G today. And as we look forward, with even more fiber and 5G growth upside on the horizon and a cost structure that reflects these advantages, not only do we realize operational benefits sooner, but we're also supporting future free cash flow growth to support our dividend growth model. Dividend growth continues to be a top capital markets priority. You see this commitment with our announcement this morning of a 5.1% increase to BCE's common share dividend for 2022. It's our 14th consecutive year of a 5% or higher dividend increase and my third as CEO. Normalized for the advanced capital investments we're making once again this year, our dividend payout ratio in 2022 will be around 80% above our historical free cash flow target range of 65% to 75%. Our healthy free cash flow growth and a strong liquidity position fully support the execution of this second year of our two-year capital advancement program, and BCE's higher common share dividend. So now what I want to do is go to slide seven. I'm going unpack for you the second year of our capital acceleration program. Our 2022 CapEx, includes $900 million in accelerated investment on top of the approximately $4 billion in baseline capital that we've typically spent each year over the last decade. This compares to total CapEx of $4.8 billion in 2021, which in 2021 included $800 million of incremental spending under the first year of the two-year program. As a result of the early completion of our planned WHI buildout initiative, we're allocating more of the incremental capital earmarked for 2022 towards fiber. The plan this year is to reach up to an additional 900,000 homes and businesses across our footprint with fiber. This is our most aggressive annual fiber build ever, representing an increase of 300,000 new locations compared to 2021. At the end of this year, approximately 80% of our planned broadband Internet build will be completed, representing more than 8.1 million total combined fiber and wireless home internet locations. That's up from 7.2 million premises at the end of 2021. So not only are we delivering the best Internet experience in the home today with 1.5 gigabit speeds and unmatched WiFi, but we also have a low-cost transition to a multi-gig future with 10 GPON upgrades to our fiber backbone already underway. And that will evolve to 25 GPON over time and as well upgrades to WiFi 6E service. In Wireless, our accelerated capital investment will expand the reach of our national 5G network to more than 80% of Canadians, further densify the network with 1,100 new 5G sites to meet growing customer usage requirements and it will enable the launch of a 5G stand-alone core, leveraging recently acquired 3.5 spectrum that will drive enhanced speeds, lower latency and other 5G networks license features. So taken all together and normalized for the $900 million capital advancement, our capital intensity ratio is expected to be in the range of 16% to 17% in 2022, consistent with typical pre-COVID levels. I'll close now by highlighting that of course the entire Bell team looks forward to delivering for our customers and our shareholders in 2022. And on that, I'll turn the call over to Glen.
Glen LeBlanc: Thank you, Mirko and good morning everyone. As Mirko said, Q4 capped off a great year in our COVID recovery, with a healthy 3% increase in service revenue, driven by continued strong Wireless residential Internet and media growth. Total revenue was up a more modest 1.8% due to lower year-over-year product revenue, reflecting COVID-related softness in business data equipment sales and mobile device transactions. Consolidated adjusted EBITDA growth slowed to 1.1% in Q4. As I signaled on our Q3 call in November, this result was anticipated, given the resetting of Bell Media's TV programming and broadcast rights costs to a more normal pre-COVID run rate. Net earnings decreased 29.4% as a result -- as our result in Q4 of 2022 included a one-time gain realized as you will recall on the divestiture of our data centers. Similarly, adjusted EPS was down 6.2% this quarter to $0.76 due to a favorable tax adjustments recognized last year, again, related to the sale of data centers. Capital expenditures remained elevated in Q4 at $1.46 billion as we advance spending consistent with our two-year CapEx program, Mirko just detailed. Despite substantial capital spending this quarter, free cash flow increased year-over-year due to timing-related decreases in cash taxes and interest payments on Bell Canada MTN debt. Let's turn to Bell Wireless financials on slide 10. Another stand-out performance that led national peers once again with service revenue and EBITDA that surpassed pre-pandemic 2019 levels for a second consecutive quarter. Service revenue grew a strong 6.3%, our best quarterly result in four years. This was achieved even as roaming remained below pre-pandemic volumes, reflecting the successful execution of our strategy to grow high-value mobile phone subscribers and effectively manage the decline in data overage revenue, as we move postpaid customers to higher-tier unlimited plans to take advantage of 5G network speeds and services. Mobile device inventory in Q4 continued to be constrained by global supply chain challenges. Similar to Q3, but to a lesser degree, this contributed to fewer customer smartphone upgrades and a higher proportion of new customers activating service with preowned devices, resulting in a 3.6% year-over-year decrease in product revenue. The high flow-through of strong service revenue growth yielded EBITDA growth of 5.3% and a 90 point increase in margin to 38.4%. Let's turn to slide 11 and Bell Wireline. The year-over-year revenue decline in Q4 was similar to last quarter, as we continued to face COVID-related challenges in our business markets unit. And a step-up in residential promotional offer intensity compared to Q4 of 2020, when competitor activity was more restrained. Service revenue was stable year-over-year, driven by strong residential Internet revenue growth of 7%, while product revenue decreased 10.5% due to the softer data equipment sales attributed to delayed business customer spending and again global supply chain challenges because of COVID. On a positive note, despite near-term COVID impacts, Q4 represented the best quarterly service revenue performance of 2021 for Bell Business Markets, where higher customer spending on cloud and security solutions drove a 5% year-over-year increase in Business Solutions revenue. The combined impact of the continued residential strength and improving business wireline results delivered healthy Q4 EBITDA growth of 1.1% and a 70 point expansion in margins to 43.1%. Turning to slide 12 on Bell Media, another good quarter overall with strong advertiser spending across our TV and out-of-home platforms and continued subscriber growth that Mirko detailed earlier. That collectively drove 7.3% year-over-year increase in total media revenue. Total advertising revenue increased 12%, driven by stronger year-over-year conventional and specialty TV performance, reflecting the return to a more normal regular major league sports and fall TV programming schedules, higher out-of-home revenue and increased leisure and travel activity with the easing of COVID restrictions and robust digital media growth, as Mirko mentioned. However, radio has been slow to recover and disproportionately impacted by the pandemic due to ongoing COVID-related restrictions on local businesses and work-from-home protocols. Despite a strong revenue performance this quarter, EBITDA was down 19%. This result was expected, given significantly higher year-over-year programming and broadcast rights costs with the return to regular major league sports schedules and a higher volume of original TV productions compared to 2020 when cancellations and delays had a favorable impact on operating costs. I'll now turn to our financial outlook for 2022 starting with revenue and EBITDA on slide 14. Growth rates are similar to 2021 with a slightly higher a wider range excuse me for revenue of 1% to 5%. This together with targeted adjusted EBITDA growth of 2% to 5% should yield a relatively stable year-over-year consolidated margin and help enable us to surpass full year 2019 financial performance levels. Broadening our revenue guidance range for 2022 is prudent given ongoing economic uncertainty with the latest Omicron wave that is slowing the pace of recovery in roaming product sales, business consumer spending, the business customer spending and non-TV media advertising. But underpinning this outlook is positive top line and EBITDA growth for all Bell segments. We expect an even stronger financial contribution from Bell Wireless in 2022, driven by our ongoing focus on higher-value mobile phone subscribers, a more robust roaming recovery, rational device discounting and a greater volume of customers transacting as COVID-related supply constraints alleviate. The decline in data overage revenue is expected to be relatively stable year-over-year again due to our base management strategy. We also anticipate further ARPU improvement through a greater mix of customers on higher-value rate plans, including unlimited data plans as the 5G upgrade cycle accelerates and higher year-over-year roaming. Despite the improvement in rolling volumes projected total roaming revenues is expected to remain below pre-COVID levels. At Bell Wireline, we expect to generate positive revenue and EBITDA growth on a full year basis. This is predicated on continued strong residential performance on the back of rapidly growing fiber footprint and product leadership that positions us extremely well to continue growing Internet market share and revenue faster than our competitors. We also expect improving rates of year-over-year business revenue and EBITDA decline as COVID-related turbulence dissipates. Again, that backdrop -- against that backdrop we will be maintaining a sharp focus on cost to offset the financial impact of ongoing legacy erosion which continues to slow. As for Bell Media total advertising is expected to climb back to pre-COVID levels as strong TV advertiser demand continues. And the rebound in radio and out-of-home takes hold more fully. We also expect the benefit from contract renewals with TV distributors and continued Crave growth to drive higher year-over-year subscription revenue while continuing to grow our share of digital ad spend. Lastly, despite a resetting of the cost structure in Q4 that brought TV programming costs closer to pre-COVID run rate levels we will be absorbing even higher spend in 2022 as we return to normal broadcast schedules for the full year, grow French language content and further increase Crave programming inventory. I'm now going to turn to slide 15, and discuss pensions. Our solvency ratio across our major defined benefit pension plans was above 105% at the end of 2021, with the Bell Canada DB plant by far the largest of all BC pension plans at 111%. This strong valuation position was achieved even without a material increase in interest rates in 2021 and a solid 5.5% return on planned assets. Having reached surplus positions of over 105% contribution holidays can now be taken on an annual funding -- on the annual cash funding which totals approximately $200 million in aggregate across all BCE plans. However, we can only take advantage of a partial reduction in 2022, since we filed our final actuarial evaluations at the end of June. As a result, BCE's pension cash funding for 2022 is projected to be about $75 million lower than last year at around $275 million in total. Although the in-year cash funding reduction was actually closer to $90 million this includes a pre-existing contribution holiday in the range of $15 million on one of our smaller plans we've previously taken. All things being equal, I believe that in 2023 we will be able to take advantage of full cash funding closer to the amount of $200 million, which should also continue for the foreseeable planning horizon as we project the solvency ratio for each DB plan to remain above the required 105% threshold. So we're talking about a very real $1 billion free cash flow opportunity over the next five years that we didn't have in our long range plan just a few years ago. That could be used to fund continued fiber acceleration and of course support our dividend growth model. Moving to our tax outlook on slide 16. Statutory tax rate for 2022 remains unchanged at 27%. Our effective tax rate for accounting purposes is also projected to be relatively stable again at 27%, reflecting a very -- reflecting a similar year-over-year level of tax adjustments of approximately $0.05 per share. We're also expecting cash taxes to decrease to within the $800 million to $900 million range as higher planned capital spending in 2022 will generate incremental tax savings under the federal government's accelerated CCA program, more than offsetting the impact of increased income taxes from higher year-over-year taxable income as our operations recover more fully from the effects of this pandemic. Slide 17 summarizes our adjusted EPS outlook for 2022, which we project to be $3.25 to $3.40 a share or 2% to 7% higher year-over-year. This is similar to last year's growth range and reflects a strong underlying contribution from operations driven by the positive EBITDA growth across all three Bell segments and the lower pension financing costs I referenced earlier. These factors will be partially offset by approximately $100 million to $150 million increase in depreciation and amortization as more capital assets will be put into service sooner as a result of our two-year accelerated capital investment plan, a step-up in interest expense due to higher outstanding debt and higher year-over-year income tax expense. Let's turn to slide 18. Free cash flow is projected to grow in the range of 2% to 10% in 2022, reflecting strong flow-through of higher EBITDA as well as a reduction in cash taxes and pension funding that will largely offset the year-over-year increase in capital expenditures. BCE's consolidated capital intensity ratio for 2022 should be similar to that of 2021 around 21% of total revenue. As Mirko mentioned this includes the $900 million of capital advancement that we are targeting in 2022 as part of our upsized two-year capital acceleration program. And again as mentioned earlier normalizing for this incremental capital investment our absolute dollar CapEx in 2022 decreases closer to a $4 billion range, which is in line with pre-COVID historical spending. A quick update on our balance sheet and liquidity position on slide 19. As we begin the year we have access to $3.4 billion of liquidity and a balance sheet with a pension solvency surplus of totaling $2.3 billion that provides good overall financial flexibility, supporting the execution of our strategic priorities and higher BCE dividend for 2022. Our capital structure is aligned with our investment grade credit ratings, which all have stable outlooks and our net debt leverage ratio, which remains lowest among national peers is projected to remain relatively stable in 2022 at around 3.2 times adjusted EBITDA, reflecting the impact of our recent 5G spectrum purchases and the capital advancement program. Also highlighted on the slide is Bell's favorable long-term debt maturity schedule that has an average term of less than 13 years and a low after-tax cost of debt of just 2.8% and no material debt refinancing requirements until March of 2023 as $1.7 billion of the 2022 MTN maturities were pre-financed and early redeemed in 2021. However, as we have always done we intend to access debt markets on an opportunistic basis throughout 2022 if market conditions are favorable to strengthen our liquidity position, extend durations ahead of the maturities and various spectrum auctions taking place over the next few years. To conclude on slide 20, we are announcing today -- what we are announcing today is a strong set of financial guidance targets for 2022. Essentially all guidance ranges are similar to 2021 with the exception of free cash flow, which is returning to growth despite historic CapEx spending as we lapped COVID's significant impacts last year. Our outlook is underpinned by positive financial profile for all three Bell operating segments that reflect sound industry fundamentals and our consistent execution in a competitive marketplace as we build on favorable financial performance, significant broadband investments and operating momentum we delivered in 2021. And with that, Richard I'll turn it back over to you and the operator to begin Q&A.
Richard Bengian: Thanks, Glen. Given the volume of information we presented this morning, I'm sensitive to the time we have left. So before we start the Q&A period, I'd like to ask you to limit yourselves to one question and a brief follow-up if you must so that we can get to as many in the queue as possible. Thanks for your cooperation. With that Mod, we are ready to take our first question.
Operator: Thank you. [Operator Instructions] Our first question is from Jeff Fan from Scotiabank. Please go ahead.
Jeff Fan: Thank you. Good morning, everybody, and thanks for all the color. I think the question for me is on the network investments. And you gave so much color for 2022, so probably other questions relate to 2022. So I want to look beyond 2022 if I may. And I know you don't have any guidance for that. But if I look at your network around seven million is fiber-to-the-home. So that's roughly 70% of your targeted footprint by the end of this year. Mirko, where does that go if you look beyond 2022? Is there any need to go at the same pace? How do you think about that? And then also the one million Wireless Home Internet footprint. Is that where you like to end, or is there overbuild? Can you just talk a little bit around that? And I guess the related question is what that means for CapEx? Glen made some comments about using perhaps pension holiday or funding holiday to help fund this investment. Perhaps you can wrap it around what that means for CapEx beyond 2022. Thank you.
Mirko Bibic: Thank you, Jeff. Thanks for the question for sure. I'm going to start off with -- the first part of my answer will be something you fully expect but very important to say. Our focus right now is on the two-year program that we are in the second year of. So I guided last year to two years of CapEx. And right now the focus is on delivering on up to 900,000 additional fiber homes and they will get us to those percentages that you mentioned. But I do need to highlight that that's the focus right now. But you asked a fair question. So, as we're focused on 2022 and as the year progresses, we will continually look at the situation. And we're going to base our future build-out plans on factors that include our broadband success and it's going really well so far. Our overall financial situation, which continues to improve from the kind of the depths of Q2 2020 and also the availability of government subsidies. So, those will be the things we look at as we get ready for 2023 CapEx and beyond. And Glen mentioned and you highlighted it Jeff, we have a very real $1 billion in free cash flow opportunity over the next five years due to the reduced pension funding. And that was not in my calculus when we announced the two-year program at this time last year and that will provide us with flexibility to seize on some strategic opportunities. So, ultimately -- and we're going to have flexibility on our capital allocation strategy. So yeah, we will be 80% done on the 10 million targeted broadband footprint, but that's not 100% done. So those are the factors we'll look at. We have more flexibility on the allocation strategy than I expected a year ago at this time. So that's all great news. And on Wireless Home Internet, I think, 1 million footprint, I mean, I'm really happy that we did that a year earlier than planned. It's great for the communities we're serving. I think that's the right footprint.
Jeff Fan: That's great. Thank you for the answer and kudos for the pension team.
Mirko Bibic: Ready for the next question.
Operator: Thank you. Our next question is from Drew McReynolds from RBC Capital Markets. Please go ahead.
Drew McReynolds: Yes, thanks so much and good morning. Jeff stole my question. So I'll move on here. Mirko just maybe a bigger picture one on the Internet market. And you kind of alluded to in your last comment on fixed wireless. Just I think, obviously, investors see what's going on with the competitive environment in the US and trying to draw conclusions here in Canada. With respect to the competitive intensity in the Internet market the fiber that's being deployed, the fixed wireless that's being deployed, the satellite broadband that's coming into play. Just can you give us kind of your sense of how this plays out in the next two to three years in terms of just managing the risk of higher competitive intensity? And then just second just a clarification for you Glen on the pension holiday. Often to see it -- does this kind of expire after five years, or are you just kind of saying look illustratively over the next five years we get the $200 million benefit each year and that equates to $1 billion, but not necessarily kind of concluding anything beyond kind of year five. Thank you.
Mirko Bibic: Thanks Drew. I'll start. So Glen will give you a more detailed answer, but the short answer is fiber can't be beat. And I think investors in Bell ought to be optimistic about that. Yes, so because fiber can't be beat and because consumers and businesses continue to choose fiber over other technologies, it may result in periods of time of some competitive intensity particularly as COVID subsides. But we'll be ready, because we're focused on delivering a healthy balance of volume tier mix price is kind of again that sweet spot between market share and financial performance. And we've got lots of runway ahead of us. So first we -- fiber is better than the other technologies. We have runway ahead of us in terms of more fiber build. In fact as we sit here today against some of our larger competitors, we have 50% fiber overlap with their network footprint. So to me that's a big positive in terms of looking ahead at what's next. And then I look ahead even -- not even that far out and I referenced it in my opening remarks as we enter into a multi-gig world, and it's coming and it's coming soon. I like the advantages we have. Our network is multi-gig ready. And when I say multi-gig I mean multi-gig symmetrical up and down. I don't think anyone should underestimate the importance of upload speeds both for consumers and for businesses. We've got -- we're future-proofed on the capacity in our network. We got no powered field components to maintain. We don't have to recapture spectrum. We don't have to swap out modems in the homes served by a node in order to deliver higher speeds. So there might be an uptick in promotional intensity at particular periods of time Drew. But when you think about the franchise we've got, we're well set up to win the household. And to win the household you want, fiber, 5G, best in-home WiFi and compelling content. So we've got the right asset mix and we'll just continue to execute.
Glen LeBlanc: Thanks Mirko. Good morning, Drew. It's Glen. I'll jump in and give some color -- additional color on pension. You and I have been talking about this for a decade, but to think the burden that the pension has placed on our cash flow over the years and the requirement to do special funding. As Jeff said, kudos to our pension team. We didn't get here by accident. This has been a 10-year journey and a remarkable job of managing the pension when we followed an asset mix glide path that had us move from significantly higher equities to a point now where we're at more than 70% in fixed income and 30% in equities. And even amongst those equities a much smaller portion of those in public. So we find ourselves from 2023 -- or excuse me, 2013 to today moving from an interest rate coverage of 40% to 84%, which has given us a tremendous opportunity. And all of that occurs, while interest rates really haven't moved. So I would say, we'd all on this call expect that there'll be some increase in interest rates, which will only add to this opportunity. So, today – and we wanted to announce that we're in a very confident position that we see a sizable pension contribution holidays to the tune of $200 million a year for the foreseeable future. And I define foreseeable future as five years. There's no magic to that Drew. Could that be longer? I certainly hope so. You know, how the math works is that you have to stay above 105%. And I think our pension team's track record speaks for itself. I hope I'm here in five years telling you that it's going for longer. Thank you, Drew.
Drew McReynolds: Yes. Thank you, both.
Richard Bengian: Next question, please.
Operator: Our next question is from Aravinda Galappatthige from Canaccord Genuity. Please go ahead.
Aravinda Galappatthige: Good morning. Thanks for taking my questions. My main question is for you Mirko on the enterprise side. I mean, when I hear some of the comments you made about sort of new initiatives on the IoT front as well as even some of the SaaS initiatives that you talked about. Can you just give us a sense of that growth segment within enterprise? I mean, where are we in terms of that piece sort of assuming a level of materiality that it can kind of really move the needle to the aggregated number? I mean, historically, you've thought of enterprise is kind of a drag on Bell and maybe it's going to be the case for a little bit longer as well. But as we try to look beyond 2022 and some of the 5G-driven offerings become more material can you sort of a picture as to what and how that can what that can look like? And are we getting closer to that time line where that materiality develops? And then a quick follow-up for Glen, on the guidance the 2% to 5% EBITDA maybe slightly wider than I would have anticipated sort of given a particular sort of the strong sub trends in Wireline and obviously really good service revenues in wireless. I was wondering, why – I was wondering, if you can give a little bit color as to sort of that – the size of that range and particularly in terms of EBITDA? Thanks.
Glen LeBlanc: Good morning, Aravinda, just to remind you that the guidance range we provided in calendar 2021 was 2% to 5% in revenue and the same on EBITDA. We expanded revenue only because of the comments I made earlier in the volatility of product revenues and we remained consistent on EBITDA 2% to 5%. And an organization that generates in excess of $10 billion a year on EBITDA, and I actually do not see that as an overly broad range. I think, if you look back historically, the last decade we traditionally had a range of approximately 2%. But this organization has grown materially in size from where we were a decade ago with the acquisitions we made and the growth we've enjoyed. So I think 2% to 5% is a very reasonable range consistent to that of 2021. And our objective will be to deliver solidly within that range and I'm confident we will. 
Mirko Bibic : Thanks, Glen. So thanks for the question Aravinda. On your first question around the enterprise side and those new revenues. Look, I – the enterprise side and to some degree – well not to some degree the enterprise – the business whether it's small or enterprise there's been a COVID impact for sure. So in last year and this year, the focus really is on managing those impacts, while never losing sight of the importance of being ready to capture the growth in the segments you identified whether or not it's 5G MEC, IoT that kind of solution spending. So what I like about what we're doing is, those building blocks every quarter keep getting more powerful. And I did refer this morning to Bell IoT Smart Connect, and I hinted at cold chain monitoring. Just as an example one of our clients, who is using the platform is a long-haul frozen seafood transporter and they're using the platform to increase visibility into their operations make sure they're compliant with food safety regulations reduce spoilage. And what I think is particularly powerful about our platform is it's a Software-as-a-Service platform. It's not a simple point solution that basic providers can offer and it will operate across multiple verticals. So I mean, are we there yet where there's a significant increases in those markets? No. Do we have line of sight into them? Absolutely, yes. Do we have clients? Yes. So I expect that to grow. When it becomes material, I think 2022 will still be a learning in the initial stages of growth, but we're going to continue to put the platforms in place to be ready. Our IoT business, I think I mentioned that the last quarter is already a nine figure revenue business. So pretty sizable in its own right already. So that's where the focus is. We're well positioned. And last word, just if you look in the here and now actually in kind of Q4 of 2021, it was our enterprise segment's best quarterly service revenue performance of 2021. And we're seeing some customer spending come back on cloud and IoT service solutions and we saw 5% growth in that revenue in Q4 of 2021 compared to Q4 2020. So I'm optimistic. But in terms of the fundamental point of your question it's still to come.
Aravinda Galappatthige: Thank you.
Richard Bengian: Next question please.
Operator: Thank you. Our next question is from Vince Valentini from TD Securities. Please go ahead.
Vince Valentini: Thanks very much. I wanted to try to unpack the 91% figure that you noted is quite impressive and I would agree in terms of the percentage of your subs on fiber. But just to make sure you didn't say fixed wireless in that as well. You're just saying fiber. So if you indulge me, let me walk through these numbers make sure you and Glen agree. You're 7.2 million total fiber plus Wireless Home Internet homes passed. So it would mean 6.2 million fiber-to-the-home passings at this point out of your total footprint of -- urban footprint of 10 million or just over 10 million. So that would mean, 61% of your homes are passed by fiber, but yet 91% of the subs that take Internet and IPTV are around that footprint. Do I have all that math right?
Mirko Bibic: Yeah. So it's -- you've got it right. So it's 61% today, 61% of the near-term -- so let's back up. So our near-term planned broadband footprint, by near-term, I mean between now and say 2025, okay well we're near to medium term if you prefer. We've got kind of 10 million that's in that planned footprint over that time horizon. We're 61% done today with fiber. 71%, 72% done at the end of this year with fiber. For those customers who are on -- in the fiber footprint and who take Internet and TV, 91% of those are on fiber.
Vince Valentini: Right. Which means the number of combined Internet and TV customers you have in your non-fiber footprint is quite low. Is that's what you're trying to emphasize that you -- the incremental risk of losing those subs until you've upgraded is pretty small?
Mirko Bibic: No. I'm not -- so really what I'm trying to emphasize, but let's go there. So clearly, where we have fiber we're outperforming. And if you kind of take our footprint from Manitoba all the way to Atlantic Canada and you see our impressive Internet net adds. We are gaining significant share in fiber. And depending on the state of our non-fiber footprint whether or not it's ATM or FTTN et cetera there are puts and takes there in terms of the performance, but that's a function of the network technology. What I'm saying -- what I'm -- so that's one point which I think is what you're getting at. What I'm trying to emphasize with the 91% is we are well positioned to really beginning -- to really begin leaning in on copper decommissioning, particularly in the residential segment. So I think 2022 is the year where you see us pick up the pace on decommissioning and positioning -- to position ourselves for a clear multiyear road map on that front.
Vince Valentini: Glad I clarified that. Thanks for emphasizing. And if I can just on fixed wireless just one follow-up question. You obviously have a great head start and kudos to getting to one million homes passed already and I think you're doing pretty well on sub ads in those regions. Good for society, but also good for your business. But other players seem to be now wanting to get into that space. Can you talk a little bit about how you protect that customer base, how sticky they are? Are there contracts used for these customers, or do they have significant upfront equipment or install costs that might act as a barrier to them switching?
Mirko Bibic: Look I'll put up our Wireless Home Internet product against anyone. So I think ultimately, it's going to be a function of the network quality, the speeds that you offer and the customer service that you offer along with it. So -- and the fact that we're there in areas where -- in those areas where we were there first because there's no one else. I think the first-mover advantage is critical. And there are some areas, in that one million household footprint Vince, where we actually weren't first. There might have been another competitor there smaller cable competitor, for example. So being third or fourth in the market is going to be really difficult. So in those areas we're taking share but we were second to market. We may be offering faster speeds. Being third fourth, is going to be tough. So I think really, it's first-mover advantage. It's the kind of credibility you buy with the community by having connected that community and it's the customer service and the quality of the network. So, that package is what's going to allow us to continue to win.
Vince Valentini: Fair enough. Thank you.
Mirko Bibic: We have time for one last question.
Operator: It’s perfect. And the last question is from Simon Flannery from Morgan Stanley. Please go ahead. 
Simon Flannery: Great. Thank you very much. Good morning. Another strong quarter on the wireless side continue to have a really good momentum year-over-year. I'd love to unpack the outlook for 2022. How are you thinking about the overall wireless opportunity and the snapback from COVID population growth household formation market share, in that -- in the guidance assumption? Do you think we continue at similar levels to 2022, or is there some certain concern in the US about a kind of a deceleration after some very good quarters? Any color there about what's driving the industry growth and your growth and how sustainable that is?
Mirko Bibic: Okay. Great question. I'll take it and I'll take it kind of in two stages. So first just industry-wide. I think it's -- I mean it's looking like a strong balance Q4 across the industry so based on the results that have been released so far. And I see some good growth and strong upside for the industry because of immigration, reopening to more customary levels in Canada, the roaming upside that we're seeing since November that's kind of holding. I think supply chain issues should begin to ease in the second half of the year. I think the store constraints -- it's not quite as constrained as it was a year ago. And I think, kind of the restrictions we're in now will begin to ease. So I think industry-wide that's looking fairly good. Now, I think it's worth mentioning where we sit competitively within that. And you see it in our strong service revenue growth and our ARPU growth. And we know why in our case there's the mobile phone strategy focusing on high-quality smartphone loadings. But it's more than that, right? Because we have -- within the mobile phone strategy, we're focused on premium brand premium network within the mobile phone strategy. And I think that's driving our results. And in Q4, we had heavy year-over-year growth on the Bell brand. And I think that's important. If you look at our 6.3% service revenue growth the majority of that came from organic performance not roaming, which is also quite positive. And I mean I'll leave you with this thought everyone. The launch of the new plans this week the unlimited Ultimate plans. We got -- I really want to highlight those because this is how we're going to differentiate 4G from 5G and highlight our network superiority. So you kind of differentiate prepaid from postpaid. You want to differentiate flanker from your premium brand, and then you want to differentiate your 4G from your 5G services. So now with unlimited Ultimate we have the bigger data, the buckets, the higher video quality. We're including content and on the content it's great mobile, so we're paying ourselves essentially. So now you start to showcase the incremental capabilities of 5G, and you encourage people to up-tier to move up their rate plan curve, as I said in my opening remarks. And I think that's a good tailwind for 5G momentum in the wireless segment particularly for vulnerability. 
Simon Flannery: Thank you.
Richard Bengian: Thanks again for your participation on the call this morning. We'll be available throughout the day for any follow-up questions or clarifications. Have a good rest of the day. 
Mirko Bibic: Thank you. 
Glen LeBlanc : Thank you, everyone. 
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.